Operator: Good day ladies and gentlemen thank you for your patience and welcome to the Fourth Quarter and Full year 2005 Las Vegas Sands Corp. Earnings Conference Call. My name is Fab, and I will be your coordinator for today. At this time all participants are in listen-only mode. We will conduct a question and answer session towards the end of this conference. If at anytime during the call if you require assistance please key the “*” followed by “0” and the coordinator will be happy to assist you. As reminder this conference is being recorded for replay purposes. I would now like to turn the call over to Mr. Will Weidner, President and Chief Operating Officer. Sir you may proceed.
William P. Weidner, President and Chief Operating Officer: Thank you Fab and good afternoon everyone and thanks for joining us today. With me today our Sheldon G. Adelson, Chairman, Las Vegas Sands Corp, Bradley Stone, our Executive. Vice President, Scott Henry, Chief Financials Officer and Rob Goldstein the president of "The Venetian" here in Las Vegas. Before we begin, I need to remind you that today’s conference call contains forward-looking statements that we are making under the safe harbor provisions of the Federal Security Laws. I would also like to caution you that the Company’s actual results could differ materially from that of the anticipated results in these forward-looking statements, please see today’s press release under the caption "Forward-Looking Statements" for the discussion of risks that may affect our results. In addition we may discuss adjusted EBITDA and adjusted EBITDAR, which are non-GAAP measures. A reconciliation of those measures for the most comparable GAAP financial measure is included in the press release and as I mentioned please note that, this conference is being recorded. You already now that 2005, is been a very important and highly successful year for the Company. Our financial performance reached record levels and our opportunities for growth have never been more compelling. There are number of accomplishments that we are very proud of from both an operational and financial perspectives and I will provide you some of those highlights today. Full year adjusted EBITDAR came in a $665 million, that is 40% increase over 2004 and marks a record for the Company. We have record years and both of our properties generating adjusted EBITDAR of $306 million at The Venetian in Las Vegas and adjusted EBITDAR of $342 million at the Sands Macao. We completed a series of targeted capital improvements that are operations in Las Vegas and Macao, which had not only enhanced our competitiveness but also improved the bottom line. We made important advancement in our strategic plans to develop a Cotai Strip in Macao, which I will talk about later in little greater detail. We have also taken a leadership role of master planning and developing a leisure and convention destination on Hengqin Island in the Peoples Republic of China. Less than a mile from and connected via a bridge to our Cotai Strip. This represents a key part of our strategy to capture a maximum value from the derivative demand that will inevitably be created by the development of the Cotail Strip. In addition we have taken steps to enhance our financial positions ensuring both capital and flexibility to fund our growth initiatives and pursue new opportunities going forward. We wrapped the year with the record fourth quarter, reflecting strong growth across the board of both our Las Vegas and Macao properties. At the Venetian, we delivered a record fourth quarter EBITDAR of $84 million that is up 55% from the prior year, reflecting our combination of strong hotel and gaming metrics as well as higher food and beverage revenues. Table games volumes was up 17.6%, while hold came in above the norm 26.4%. On hotel side the recent expansion of our leading facilities already proving us with greater capacity to book group business, particularly traditionally slower period. Increased in booking flexibility also. This helped us to deliver one of the best fourth quarter in the history of the property on the hotel and food and beverage side of the business and positioned us well for the seasonally strong first quarter. During the fourth quarter REVPAR was up 3.4% driven primarily by an increase of 3.3% on occupancy to 96.5%. These gains as well as a 45% increase in food and beverage revenues, are direct results our emphasis on the group business during the quarter. In fact the catering revenues are added to room revenues and divided by available rooms, the rooms in catering REVPAR grew from $237 in the fourth quarter of 2004 to $269 in the fourth quarter of ’05, an increase of over 13%. When looking forward 12 months bookings in 2005, are 45% ahead of 2004 space. Other targeted capital improvements at the Venetian are also bearing fruit. The opening of our Paiza Club and renovation of our high-end suites have played a critical role our ability to attract the more premium customers and grow our high-end business in Las Vegas. This is reflected in our table game drop, which was done significantly every quarter reducing the full year increase of 15.8% versus 2004. Given the success for our Paiza Club we recently expanded its' private gaming capacity from 3 to 6 tables and we are in the process of renovating our presidential suites, establishing our 34, 35 and 36 floors as identifiable VIP On Play. As we noted in the past an important component of high-end strategy is our cross marketing efforts with the Sands Macao and it's Paiza Club particularly as we established relationships with an increasing number of VIP players in that region. In the fourth quarter for example Baccarat drop increased 43% year-over-year. Turning to the recent addition of our entertainment offering, we are very pleased with our response to Tao and Blue Man Group which both opened last fall. As expected Tao was generating significant traffic and brings tremendous cash aid to the property. The Blue Man Group production is ramping well, generating incremental traffic and is also added an important dimension in terms of overall ambience and appeal especially in the evenings with the property. As we look out 2006 and 2007, there is a visible pipeline of new initiatives designed to further strengthen the Venetian both in terms of its appeal and the ability generate incremental cash flow. The new Phantom theatre, the house Phantom of the Opera is on track for June opening. Construction is under way for third theatre, an 800 seat showroom which is expected open in late this summer. Mario Batali the award winning New York chef will be opening two restaurants at The Venetian, both are to emulate Mr. Batali number one rated New York restaurants fab and is slated to open later this year. The Venetian will offer it's 39 table state of the art, poker room this spring, and we are finalizing a broadcast and ongoing presence of the world best poker players in the form of the professional pokerie. Phase II of our pool deck renovation is also underway, it is slated for completion by this by this spring renovation includes the resurfacing and articulation of the balance of the pool area, the addition of more luxury cabañas and a new Tao beach area and elegant European star private pool area which would accessible directly from Tao. In terms of room products we are in the initial planning phase for renovations of the Venetian Tower, which will likely commence in the second half of the 2006. We are in the process of forming our plan which will update, improve and contemporize our Venetian rooms and ensure minimum disruption to our business. Construction of the Palazzo which will add another 3025 all suite rooms 150,000 sq. ft of gaming space, 400,000 sq. ft of retail space all interconnected to the Venetian remains on schedule for third quarter 2007 opening. And finally we filed for permits to expand our convention facilities, assuming the time the approval process completion is expected in early 2008 and will add approximately 1.1 million additional sq.ft to our current capacity. Shifting now to our performance and activities in Asia our Sands Macao property turned in another spectacular quarter generating the adjusted EBITDAR of $103 million. This record performance reflects continued strengthen of mass play and evidences continuing ramp up of the VIP play. Ramp up in rolling chip volume which measure VIP plays as been dramatics since we formerly launched our VIP play in March of 2005. Rolling volume came in a $1.99 billion in the second quarter increasing to $3.19 billion in the third quarter and increasing again in the fourth quarter, to almost 4 billion, actually 3.93 billion of rolling chip players for a quarter. We continue to grow our business on the mass side with table drop reaching a 11.3 million per day, that is up a 11.1 million per day in the third quarter 10.1 million per day in the second quarter and 9.5 million per day in the first quarter, reflecting expanded capacity and introduction of promotional programs aimed at this segment. Slot volume in the fourth quarter grew an impresses 73% to 224 million which continues to support our belief in the potential of the Slot market in the Macao. Very important for us as we expand the 1000s of slot machines as we open our Venetian in Macao. And vision to our renovation, product improvement and Palazzo expansion constructions in Las Vegas, we have an exciting road map for growth and expansion in Asia as well. At Sands Macao, phase I of our podium expansion opened in late January and plan for new year or Chinese new year. The new 10000 sq. ft level of fortune gaming area includes in addition of 28 tables and 67 slots. This May we will add 16 VIP tables, increasing Paiza Club capacity by 30% and upon completion of the balance of our program in August we expect to add an additional 200 slot machines, 200 table games to take the total table capacity to 630 table and slot machines to 1100. At the same time we also add more Asian fast food to service the mass customers as we increase capacity. Construction of the Venetian in Macao which will anchor the Cotai Strip remains on schedule for summer 2007 opening, to that end we will continue to make significant progress at all aspects of the development of the Cotai. Most recently we entered into the non-binding "letter of Intent" with Four Seasons and Parcel 2 and expect to have to signed definitive agreement shortly. Agreements with the other brands or either a "letter of Intent" documentation are in the final negotiations pages. We continue to make progress on a lease malls on the Cotai Strip. In our last update on November 9, 2005 on our Investor Day, we revealed that we had signed offers representing about 10% of our Grand Canal Shops in Macao. As of today we have commitments from 85 stores representing over 30% of the space on our Grand Canal level in the mall at lease rates exceeding our expectations. We will be providing a full update on mall leasing activities in the next few weeks. Looking just one mile away the development of Hengqin Island provides us with the tremendous opportunity to leverage our presence in Macao and realize the derivative real estate value development on the Cotai Strip. We are in the midst our master planning work as we progress approvals from the PRC government, and we are finding a level of interest in terms of branded amenities, partnership interest and government support truly exciting. As most of you know, we are in the process of obtaining $2.5 billion senior secure credit facility to fund our near term growth plans in Asia that includes the Sands podium expansion, the Venetian Macao, the Four Seasons, The Shangri-La, as well as funds to start construction additional complexes on our site 5, 6 and additional Cotai projects. We finalized documentation as we speak and expect the facility to close this spring. These developments are being put in place to take full advantage of continuing improvement of the economy of mainland China, the growing wealth and consumerism of the Chinese people and the economic recovery of the entire region driven largely by mainland China. In that regard, the gross domestic product of the PRC increased 9.9% in 2005, foreign direct investments exceeded 60 billion, foreign trade increased 26% and the Chinese currency the RMB increased 3% against the US dollar, since July. The US business council even more importantly talked about the instrument and mechanism being put in place in to float RMB. That change of a free new floating RMB would be huge for our VIP player. Increasing the amount of what analyst call legitimate VIP play, play that would be compete four. It will also increase the amount of money mass players can bring across the border to play. Chinese private savings reached $1.75 trillion in Chinese bank accounts, and the newly wealthy Chinese love to travel and spend, the Chinese made 1.21 billion domestic trips in 2005 an increase of about 10%. They made 31 million foreign visits, the world travel organization says China will be the worlds biggest destination by 2019 and according to published reports Chinese are the biggest traveling spenders. They buying luxury condos, yatchs and things like that as well as retail items. That demand is driving visitation to Hong Kong with over 23 million visitors an increase of about 12% driving hotel occupancy and REVPAR, despite the rooms capacity increased in Hong Kong was 12.1%. REVPAR increased 19.8% last year. At Hong Kong retail sales touched 2.4 billion in 2005. In Macao for 2005 visitation increased 12% to 18.7 million visitors, mass games realized an increased 44.5% while VIP Play, was down about 3%. After a crack down of the PRC central government on legal games during the second half of third quarter year. The Sands Macao rolling chip drop volume however was up a 155% from the first to the second half in the face of that crack down. That supports our contention of the legitimate VIP business was not only affected but is growing much more rapidly than the other type of VIP business done in Macao. New developments in the quarter will affect Macao future, 24 million more mainlanders will be eligible for the individual visit scheme come May 2006. That IVS scheme allows mainlanders to visit Hong Kong and Macao without waiting for a visa. It will bring back program from 225 million mainland Chinese with 250 million by May. Macao will double airport capacity by the end of 2007, it is these kinds of metrics and these kinds of developments that continue to support our bullish outlook for Macao, and justify our aggressive investment pasture there. In terms of other development activities worldwide we are continuing to pursue many promising opportunities, in Singapore we are finalizing our response to the ROP for a spectacular project at the Marina base site which is due at the end of March, on the domestic front we filed our application with the state of Pennsylvania for our proposed development at Bethlehem, a short 90 minute drive from New York City. I would say that before we open our call for question and answers, I would like to ask that you refrain from asking any question related to the registration statement that was filed today, I am sure you will all appreciate that we are restricted from discussing any and all aspects of that matter. I would like to thank you in advance for your understanding and I would like to ask the operator to begin and open the call for question and answer session. Thank you.
Operator: Ladies and gentlemen if you would like to ask a question please press "*" "1" on your touchtone telephone, if your question has been answered or you wish to withdraw your question, press "*" "2". The questions will be taken in the order received. Please press "*" "1" to begin. And you first question comes from the line of Larry Glaskin of Jeffries and Company.
Q – Larry Glaskin: Hey guys, congratulations great earnings. One quick housekeeping option expense, I assume you are going to be probably $0.08 to $0.010 per share per year right below your competitors, is that a, what kind of, are we talking in dollars, and how much per share?
A - Scott Henry: It is more in the range of $0.02 to $0.03 a share. That number you quoted was a little too big. And it is probably going to be in the range of $11 and $12 million in a year. That is our current calculation on that.
Q – Larry Glaskin: Over a $12 million a year, good, that is, you guys have more okay. Hengqin Island, you know what kind of potential could we be seeing from that, what kind of magnitude you guys thinking as far as, we are talking 1000 units, 2000 units, and what kind of potential could there be.
A - Scott Henry: I want to qualify comments on Hengqin Island is that we are in the process, that is protracted process of getting through the approvals on mainland China. The impact statements and things like that are, they do not easily give to what I call WOFEs, Wholly Owned Ford Enterprises, large chunks of mainland China. So it is an unusual and difficult transaction so I want to qualify that, but based on with the Zhuhai planning institute right now, we are talking about an FAR ratio on the approximately 6.2 square kilometers that would allow us to build between 40 and 50 million square feet of things. Those things could be anything from hotels, to second home apartments, to club houses to commercial facilities, we have built some convention, and some exhibition space there also, but it, we would be allowed to develop a few sort of massive project there.
Q – Larry Glaskin: Okay. That is great. Second, another question would be just discounts and commissions on table games in the fourth quarter, in Macao.
A - Scott Henry: Pardon me.
Q – Larry Glaskin: The dollar amount of discounts and commissions on table games in the fourth quarter?
A - Scott Henry: That would be Larry, in the area of 1% of a roll, or 40%, you can the roll in program constant 1% that is the amount would be actually commission from discounts. They don't really have this out there is primarily commissioned based on rolling chip program.
Q – Larry Glaskin: So 1% of rolling chip program. Okay. As far as sites 7 and 8, some of your competitors have said that it, those may not be yours, can you just respond for that?
A - William Weidner: We met with the chief executive about 4 weeks ago approximately to discuss our development plans, divulged to him where we were, on the process of our brand development. He assured us that, that site 7 and 8 are ours, to develop. In the meantime, we have been permission to actually access sites 5 and 6 to being the site work. And we were notified that we will be granted a license on those site II development. So we are moving forward on the pre development of 7 and 8, and the actual physical development of 5 and 6.
Q – Larry Glaskin: Okay. And the last question, was the Chinese government, you have the deadline of June '06 and 12 '06 for casino and convention where you, I mean we expect to get the extension of what is going with that?
A - William Weidner: As part of the loan documentations we are working with the Chinese government, sort of Tao government rather, we have formerly requested the extension of the deadline, several of us were around the table to catch conversation with representatives of the government who told us that the extensions will be granted, as part of loan documentation.
Q – Larry Glaskin: Okay. Well thank you guys.
A - William Weidner: Thanks Larry.
Operator: Your next question comes from the line of Jay Cogan with Banc of America Securities.
Q – Jay Cogan: Yeah. Hi, good afternoon I got a few question on Macao as well, may be following up on Larry, just asked about Hengqin Island. Will, can you just go may be go a little bit more detail about exactly what you have do from a process standpoint to be able to move forward, break ground and on Hengqin Island, how long are we talking, you said some relatively significant undertaking, we understand that tier was mean over there?
A - William Weidner: The next benchmark dates will be mid to late April, to give you an idea of the process we have been working on this for just about two years, we started with the Zhuhai level of government which is city government across the border from Macao. We worked our way from Zhuhai level to the what is called the 9+2 regional level, which is the nine southern provinces of China and Hong Kong and Macao which were made into a economic cooperative area. From there we got the approval last October November from the mayor of Guangdong province. So that is provincial level, and now we are working with Zhuhai planning institute who are working with the folks of 9+2, to develop the four master plan for the island. Our next presentation with our six master planners, will be to the Zhuhai planning institute at mid April. We present environmental impact statements, we present FAR ratios, we present the outline plan for the development in terms of the number of units, of the area of components and aspects, so it is a process that is a very detailed one, we would expect to be allowed to actually get on the site, to do some real work on the ground works by sometime this summer. And would expect hopefully by the end of the year to have some form of assurance from the government that we can move forward.
Q – Jay Cogan: Okay. Everything worked out perfect from here, when do you think something may be 40 to 50 million square feet, was that, that may be that comes on space, and then how should we think about, just sections opening up or greater visibility, is actually what do you do?
A - William Weidner: There would be, from there we would be, we have proposebly developed in three phases, and a couple of sub phases. To be able to take one bite at a time, and our approximate amount of expenditure in the first phase is somewhere near $300 million number and we are working on just for simply for planning purpose, the combination of infrastructure work, the first golf course, a number of housing units, the marina area, and some units and yatch slits and things like that, that would relate the marina.
Q – Jay Cogan: Yeah. And If I can may be actually couple of Macao related questions. In regards to the mall when you mentioned, as he said, we are going to get some more information next couple of weeks, but you said you guys ahead of your expectations from a rental standpoint. Was that ahead of what your apparent expressing of the November, analyst say we are from prior budget, I just want to make sure I understand that.
A - William Weidner: November, I think we had a range, and then a mid point of range, that we were talking about, there, we are so far happy with what is coming on.
Q – Jay Cogan: And when you said, Grand Canal shops, is that at the Venetian part of the 1.6 million square feet, or is that the entire 1.6 million?
A - William Weidner: That is the Venetian part, and the Four Seasons part will be part of our next announcement here are the actual formal announcements that would be developing, that communication over the next couple or three weeks.
Q – Jay Cogan: And then one last one if I can, I didn't see the Sheraton brand anywhere in the release, in your comments you had mentioned another Asian related hotel brand, is there something changed with respect to that site?
A - William Weidner: No, we just haven't specifically talked about it, I think because things will be, will come along fairly clear over the next few days, few weeks.
Q – Jay Cogan: Okay. Perfect. Thanks a lot.
Operator: Your next question comes from David Andrew with Merrill Lynch.
Q – David Andrew: Great. Couple of question, hey Will, I missed the progression of the table count at the Sands, Macao, if you could walk me through that, again, I then I got two additional follow-ups.
A - William Weidner: Okay. We opened what we called the Torchin (phonetic) casino, as I mentioned here for Chinese New Year. And that was the addition of some I think 67 slot machines and 28 table games. By May we will add another 17 Paiza Club games which will be at a 30% increase to the Paiza Club, actually expanding Paiza Club into what was our Shanghai Restaurants, maintaining the kitchens so we could improve our food and beverage services there and add 30% to capacity and improve the quality of the Paiza Club overall. And then by August, we plan on adding another 200 table games and another 200 slot machines to take the total table count to 630 tables and about 1100 slot machines counts.
Q – David Andrew: Okay. Now the follow up, Sheldon may be you could talk a little bit about monetizing the real estate, I know you guys wanted to everything opened before you thought about selling it. Is that still the plan and then Scott may be if you could comment on the hold percentages, looks like you played a little lucky in Vegas and on the massive tables. I calculated probably help revenue about $30 million and I am note sure what kind of margin you want to put on that, may be you could quantify the earnings of that?
A – Sheldon Adelson: David this is Sheldon. We haven't changed our strategy, our strategy is to still sell non-core assets and provide the benefit that the non-core assets is established from the first place. So nothing is changed, we expect to move forward with Macao.
Q – David Andrew: Okay.
A - Bradley Stone: Hi, David this Bradley Stone, I will respond to the whole percentage situation. We did, we held a 26.4% in Las Vegas, and that was driven heavily by Baccarat, and you know in normal times, we say that about 5%, 5.5% higher than we would traditionally expect to experience. I think, one thing that is happening here, is at Venetian as you know a significant growth, in Baccarat, as this mix of business, the talent I believe, if you look at the historical numbers, Baccarat in Las Vegas totaled in the 25% 26% range, so obviously as Baccarat becomes a higher mix to your business you would expect your whole developed not obviously to 26%. But higher than perhaps we have communicating in the past, you know idea in 2003, 2004, Baccarat drop represented roughly, I believe the number was about 33%, of our total draw. But moved up to about 60%, I am sorry 36% in the year 2005, 2004, and in our most current year Baccarat drop revenue was about 44% of our drop. So it is seen as a steady increase as we built asset to attract higher end business, which is predominantly Baccarat, Asian business, with our range, and so I guess the long and short of it, there, is that we are getting to here, is that we believe we are going to start seeing a whole percentage probably increased of above the typical 20.5% to 21%. That we have been saying will be normalized in the past. For the quarter again we held a very healthy 26.4% and you know depending on what you want to sight it as a premium, it could be 25 to 30 million additional.
Operator: Thank you. The next question comes from the line of Steven Kent with Goldman Sachs.
Q – Steven Kent: Hi. I am not sure if you can talk about this today, but cold you just give us a sense as on the retail leasing program whether these are US based, retailers or Chinese or Hong Kong based and then if you could talk about the deal structures on these on these, or you going to do that in a couple of weeks, and then also I am not sure if I caught this, in your opening comments Chinese New Yea in Macao did it follow a similar pattern to last year, where business was slow, the first few days, and then ramped back up.
A - William Weidner: Yes. Okay. Two answer s there, one the, I would say that the retail brands, the 85 stores that we talked about are basically the international global usual suspects that anyone would recognize anything from Mont Blanc and Dunhill, (indiscernible), I mean it would be in our, they are the premium retail brands that you will see anywhere in the world. And the announcement were articulated more but I think you will see that is pretty well everything that you would expect and more. As far as Chinese New Year, the pattern was similar this year to last year, when the Chinese are close to home, the first few days of Chinese new year are very family oriented so they don't necessarily come out to the casino, although our visitation numbers were up about 10% in the period before Chinese new year, It increased about 10% through the reminder of the second week of Chinese new year here in Macao. But the pattern is very similar and I hear it to be different pattern because when they come away from because they are away from, they don't, they may bring the family but usually they don’t. So you get a longer more protracted Chinese new year here than you get actually in Asia. Actually in Macao itself. The pattern is very similar but our volume was up in terms of foot traffic. And volume up in terms of table game activities.
Q – Steven Kent: Okay. Thank you.
Operator: Thank you. Your next question comes from the line of Celeste Brown with Morgan Stanley.
Q – Celeste Brown: Hey guys, couple of questions, back to the mall, are you, can you describe the sort of discounts to, what you are seeing for the smaller boutiques that you would expect for an anchor, would you expect the, or would you expect an anchor to pay sort of similar level of rent?
A - William Weidner: Similar to here in Las Vegas, the anchor is the strip and the brooms themselves, so almost all the space we are selling are small space. There will be a couple of column large space users, but that will be because of, if there is a codec configuration in deep space, where you have a little larger user but I don't think there would not be a significant difference in the income per square foot. The thing we are seeing over there is not only are the base rents, much stronger than in Las Vegas, similar to those in Hong Kong, but the percentage of rents are double digit. I mean the lower end of the percentage rents, are 12%, 13%. And the high end of the percentage rents are 18%. So it is a much stronger base, I guess you would say of developing revenues there than here.
A - Sheldon Adelson: The largest what you might call anchor brands are only about 15,000 square feet. There may be anchor brands but they are anchored per say as we know that we never made a mistakes. There are, in future phases here, we are looking at large format electronic type stores and things like that, the broader variety of shopping there on the strip, what we are doing is we are developing essentially a monopoly for retail, if you take, the scale of Hong Kong, Hong Kong has brands repeated several times all over the place, we are organizing this strip of a couple of million square feet of retail space that will essentially control. So once we have the critical mass in place, it will fuel itself, because it will be the dominant retail mall experience in Macao for a long time, so anybody who built more rooms just built more bodies to frequent the mall. So we are very excited about the overall opportunity there.
Q – Celeste Brown: Okay. Great. And then can you also give an update on your views on sort of infrastructure developments, to depend some article out of Hong Kong and China to discuss the potentially the bridge now being built, such as the reaction on therefore on the precious part.
A - William Weidner: I don't know if you, I heard today and I think, better to understand you did about the tunnel that, I think mainland Chinese are talking about developing between Shenzhen and Zhuhai. You know, there is talk of a second bridge also in that area. I just think it is good news. I mean the more connection there is in the southern part of the triangle with the northern part of the triangle the more activity there will be. Whether it is very good tunnel, it matters not to us, as long as Shenzhen and Hong Kong could more conveniently get to Zhuhai and Macao. And it doesn't matter which one. There has been a lot of development and support for the bridge overall, I am not sure that the people are reacting more quickly than they have to, anytime that is ruled out, you know people think in terms of what kind of profitability can my bridge get if i now have a tunnel competing with me. But not to mind, one way or another this will mean a lot more connections between the west side and east side of the delta in the ensuing years.
Q – Celeste Brown: Great. And then just finally one another, just from a housekeeping question, can you give us the table breakdown between the Paiza club and the Mass in Macao?
A - Bradley Stone:
Q – Celeste Brown: Yeah number of tables sorry.
A - Bradley Stone: The current configuration, the final configuration?
Q – Celeste Brown: The current and final.
A – Bradley Stone: Current one is right now we have 55 tables in the private club, and we have about 385 Mass games, the final configuration again right now would be you know atleast the way we are going, 630 would breakdown into about 70, 75, Paiza Club games and the balance would be Mass , however you know we are always looking at and preplanning the ability to expand the Paiza Club if necessary, we have other real estate who can do that in, and as that market grows and as the need for VIP rooms for our Junket run network demands, we will find space for them. It is a very lucrative business for us, and the capital crosses minimal compared to the return we can made by expanding that facility.
Q – Celeste Brown: Alright. Thanks a lot.
Operator: Thank you. Your next question comes from the line of Kenneth Parker, a private investor.
Q – Kenneth Parker: Good afternoon gentleman, I got most of my questions answered, I just do have one question concerning your potential operations and development in the United Kingdom, is it appropriate to ask any of those questions and what is your next stage of operation would be in England?
A - William Weidner: I mean like everyone our interest, everyone interested in the larger casino, they call them super casinos, we call them mini casinos. But our interest is in the what they call, super casinos with the maximum of 1250 slot machines, we have consistently communicated our interest in forming, making presentations, and forming ventures to be able to develop what they call, super casinos, currently the government only allows one in the legislation, there has been a lot of push now to expand that number, I think 44 different municipalities and the interest they have approached government about our interest in developing a super casino. We think it is likely that the number of super casinos expand from one to some larger number but we are not going to know that until much later this year, in terms of the how the government which has to go back an reproach parliament to get it approved. But our government is going to propose the number of those larger casinos expand. We are in place over there with several different ventures, we are interest in developing a number of those larger casinos and we are awaiting government tell us whether they want to expand them to some number beyond one.
Q – Kenneth Parker: Pleased your answer, thank you.
Operator: Your next question is a follow –up from Larry Glaskin of Jeffries and Company.
Q – Larry Glaskin: hey guys, just some housekeeping, corporate expense going forward, you know we had the corporate cabling line, but you had $5million development, should we be looking for combined $15 to $17 million going forward a quarter. Also CapEx timing, what would you look for the next quarter Scott and may be for the rest of the year.
A - Scott Henry: Straight in the note, Larry. Let me start with CapEx, CapEx going forward for 2006, we are not going to give you to you on a quarterly basis, but we will give you for the year. It's currently projection, between 1.6 and 1.8 billion combined between, the US or between the Las Vegas and Macao. The break out for that is about $950 million to $1.1 billion in Macao and in Vegas it is about $675 million and $750 million. On the corporate expense, Brade you want to tackle that one.
A - Bradley Stone: I'll let you tackle it.
A - Scott Henry: So, you know, you have all said to us many times, we are a growing business and I think the business development line is the line that you are going to continue to see on a fairly consistent basis. As far as corporate I think at this point of time, we are now fully ramped up to where we are going to be within a close range, Larry, now that we have fully made this transition from a one property company to a multi-property company with a parent, public parent too on top of that.
Q – Larry Glaskin: Alright, then we should keep it where we have it now. Okay. And then I guess the last question is, there was press release out of Singapore saying they have finalized the law and revised a little bit more, could you, is that something new, that actually a little better for applicants?
A - William Weidner: A little better, I mean, it's at the margin it doesn't mean a lot, you know, there was a very cumbersome suggestion about how floor configuration, you see the floor configuration should be handled, they were mimicking the New Jersey model, that we have, if you want a table or slot machine you have to make an application of the change in floor to government before they allowed you to do it. They have dropped that, you know we would expect Singapore to be strict in terms of how it deals with it's gaming, we would expect it to be a little more of the New Jersey model, let us than the Macao model, I guess you would say, and we do believe that Singapore is an interesting place to be, and that they will evolve as other venues and jurisdiction evolve. And I think there was a bit of single saying we will look at our rules and within reason be flexible.
Q – Larry Glaskin: Okay. Great guys, and also tax rates going forward as far as on the US assets?
A - Bradley Stone: On the US asset, 35% effective tax rate for the fourth quarter was about 16.74%. And that is going to fluctuate from quarter to quarter, it is again depending upon the mix of business, Larry. Obviously you know in Macao, we enjoy a income tax holiday, certainly on profits from gaming operations till the end of 2008.
Q – Larry Glaskin: Alright. Well thank you guys.
Operator: The next question comes from Dennis Forst with Keybanc Capital Markets.
Q – Dennis Forst: Okay. Good afternoon. I wanted to ask Brade if you could finish the answer to a question, I think it was David Andrews was asking about hold percentages when you were cut off, and then I wanted to follow up on that with another question about the hold.
A - Bradley Stone: Again, I am not sure where I cut off, because I was in the call. When you have a cellphone and you think you are talking to somebody, but it seems there is nobody there.
Q – Dennis Forst: I think you got around to, said '05 Baccarat hold made up about 44% of the or the drop that was, it was 44% of the table drop?
A - Bradley Stone: I think the point we are trying to make here is simply that, typically we have communicated that out, we believe are normalized hold will be 20.5% to 21%. And I just think, as we specially with our emphasis on Baccarat and the Asia business, because of our presence in Macao and the assets that we put in play Las Vegas at the Venetian. And the assets were developing in the Palazzo project here. I think we are going to have to look at what we consider to be normalized hold percentage. Obviously as the mix of the higher hold percentage business increases, so should whole percentage. So we are just seeing a ramping up, and what i was articulating is, in 2002 , 2003 time frame 34% of our drop is Baccarat, then it went to 36% of our drop in 2004 and for 2005 it was 44% so, as our mix of business changes I think we would anticipate perhaps the whole percentage what we consider normal could go up, then I think part of it will staying here now. We certainly benefited from the great hold percentage in the fourth quarter, but again the delta between what is normal and what we did, is shrinking as we increase our mix with Baccarat play.
Q – Dennis Forst: Okay. Then just a follow up on that, the state puts out their monthly numbers, and they typically have somewhere around a 10% to 12%, hold percentage on Baccarat, that includes Rim credit, is that in variance from the way you calculate your Baccarat hold?
A - Bradley Stone: There is two ways to the catch, that hold is calculated, we as the more traditional gaming model, the state also, I believe does have in it's report, and I guess, the two confuses, one called historical and one called statistical and what we look at is what is norm for what we use in our industry and again my recollection last time I look at, was that the state is in the 24% 25%, 26% range and now with that statistic you are looking at is a different way in which they calculated, and I am sorry, but I can't articulate exactly what that formula is, but that is not the hold that we as casinos here in Las Vegas, operators, that is not how we calculate it, and that is not the typical nomenclature when the gaming companies report, we talked to analyst that we utilized. Not a chance, you need you need statistics.
Q – Dennis Forst: Okay. But they do have a statistic that reconciles with yours?
A - Bradley Stone: Yes. I believe that again there is two, they call the game chord board, one is called historical, one is called statistical.
A - Sheldon Adelson: Even just realizing this state reports that $72 million, rather it was negative, the other smaller house and they don't have the kind of volumes that we have, blocks your endurance, which dropped the class hold percentage amount.
Q – Dennis Forst: Okay. Thank you.
A - Sheldon Adelson: Thank you.
Operator: And your next question is a follow up from Jay Cogan with Banc of America Securities.
Q – Jay Cogan: Yeah. Hi, just couple of more quickies on couch. Since you got a couple of issue on the convention side, if you could just provide us a little bit more detail, you said you had significant expressions of interest or something like that in the release on the call, I was wondering if you could just, maybe you can flush that out, a little bit more for us, in regards to what we might expect to see in 2007 and 2008 and how that may effect you know, occupancies and you know the merchant Cotai strip. And then also on site 7 and 8 obviously those has been work in progress, I was wondering if you could just give us any kind of update as to where it stands today, as your best guess, about that development may shaping up.
A -William Weidner: First, the, as far as the group business, the expressions of interest had now been turned into, contracts, several have been sent out, and a couple have been signed. And we will be bringing more information forward as we have a critical mass of those put together so you can get a much better sense where we stand there. '07 '08 are shaping up pretty well, particularly fall of '07 surprising you are not going to get, it will be out in the next few weeks, the more wholesome report on that, the actually activities and results, the results of the activities. Secondly, i , what was the second question about? It was about, 7 and 8 are being designed as we speak, they are, each of the parcel is approximately the same size, so the way that we are handling the design of those is to call them, the space itself being similar, but the actual design of the buildings themselves, being very different, been very differently. And you mentioned earlier, one of the brands that we have been talking with, we will continue to talk to with that particular brand, and others and we think over the next few weeks we will get all of the brands finalized, and then we will be finishing the design on 7 and 8.
Q – Jay Cogan: From a financial standpoint do you expect still to do, with kind of the mind, with how do you in the first sourcing deal on site 3, where, what is about highly likelihood as you brought up I think at the analyst day, that you might have additional interest possibly even, hold earnings, those sites, just kind of curious, how you see that might flush out.
A -William Weidner: Well, I think we are going to exercise more control over the sights, the interesting thing is when we began this idea, everybody thought that, the Cotai strip of that area of Macao was in the Boon Docks, now suddenly everybody wants to invest there, I think part of it is because, there is progress not only in Macao but people see the actual physical building of the Venetian as an anchor. And it is our contention that those properties pieces are very valuable and so we look at how structure what we do out there, to be able to make sure we have captured, and maximized the value of that is available there. We have several people interest in partnerships, in developing these different sites and the question is whether we really want to give up the value to partners, as I said, keep evaluating that, overall. So we are going forward with the design and development anyway, we are going to control that anyway, there maybe a possibility bringing additional partners in. Or may develop those ourselves.
Q – Jay Cogan: Got it. And then last question, Thomas, first quarter data points, that I think Scott has provided some between the past on Macao for example I think in the past you provided this first month of DIP drop and/or the mass market on the per day basis, volumes and in Vegas if you any comments on first quarter 2006 expectations.
A -William Weidner: Traditionally, we have done that since we were kind of in our first cycle, we didn't really have a year-on-year, comparison, now we do, so I think we are going to get away from that particular practice. Certainly in Las Vegas, we are much more mature property now and so we, periodically we would give that time to communications when we were younger I guess you would say the process, or let us say when we added the Venetian tower, we did that to say, look there is huge increase of, you know 25% to 30% in capacity. I gave some indication of that apple. We are normalized now, so and we are now laughing ourselves in Macao, so we won't be giving out that kind of information.
Q – Jay Cogan: Okay. Thanks.
Operator: Thank you and your last question comes from the line of Felicia Hendricks with Lehman Brothers.
Q – Felicia Hendricks: Hi guys. Squeezed right in there, at the end. So just to touch back on it, quickly, Brade when you were cut off with the prior question on hold was when you said you could add 25 to 30 million additional revenues and then you got cut off. I am trying to figure out what kind of margin we might want to apply to that, if you were discussing that?
A - Bradley Stone: Well, I think that number, when I saw that 25 to 30 million bucks was for the year, I think I was talking about the year end, and you know that typically I mean, it is hard to ever associate a direct margin, but we usually say about 50%, excuse me, in that business we don't have a delta like that, it is not because you beat, you know a bunch of $5 blackjack players, you beat some big players and of course we have the associated discounts, the gaming packs. The forms for the guest, things like that so typically we would say that you know we hold, may be 50% margin on that business.
Q – Felicia Hendricks: Okay. And then Sheldon, when we met in the past, you have discussed kind of what are your offers for Cap raise was trending on the retail in Macao, I was just wondering if you could update us there.
A - Sheldon Adelson: There is no real update, except that we have been approached, we continually our approach by different, let us call them leads for real estate investment companies. To pre-sell the mall, we are not interested in doing so, at this time, if we don't see anything that should happen that would change that, we might get closer to or alter, before we seriously entertain any offers. None of our expectations have changed.
Q – Felicia Hendricks: Right. But the offers are still coming in, in the low single digits?
A - Sheldon Adelson: What?
Q – Felicia Hendricks: The offers are still coming in, in the low single digits?
A - Sheldon Adelson: Yes.
Q – Felicia Hendricks: Okay. Thank you.
A - Sheldon Adelson: Not all offers, I can't say they are offers, just conversations that people call up and say you now we can consider X cap way if you guys want to sell it to us. But I would call it just into a state at this point.
Q – Felicia Hendricks: Got it. Okay. Thank you.
Operator: Thank you. There are no further questions in the queue. I would now like to turn the back over to Mr. Weidner for closing remarks.
William P. Weidner, President and Chief Operating Officer: Thank you very much. And thank you for your attention today. We had a very very good quarter, very very good year, we have a lot of things on our plate and it is a wonderful thing to have those kinds of opportunities just on your plate, while we are busy, it is certainly is exciting and stimulating. And with that, I thank you for joining us today, for our conference call and we look forward to talking to you again in the very near future. Thanks again.
Operator: Thank you for your participation in today's conference. This concludes the presentation. You may now disconnect. Good day.